Operator: Good day, everyone, and welcome to today’s Kimberly-Clark de México’s 4Q’22 earnings conference call. At this time, all participants are in a listen-only mode. [Operator Instructions] Please note this call is being recorded. I will be standing by, if you should need any assistance. It is now my pleasure to turn the conference over to Pablo Gonzalez, CEO.
Pablo Gonzalez: Good morning, everyone. Thanks for participating on the call. Our very best wishes for all of you and your families in 2023. I'll start by making some brief comments on our results. We had a good fourth quarter, and an active continuous sequential improvement throughout the year. We posted strong sales growth, driven by pricing, but volumes improved sequentially behind consumer-led innovations and effective commercial execution. The record raw materials and commodities inflation continue to be a headwind, but the combination of pricing, greater efficiencies, and a strong end of year on our cost reduction efforts, allowed us to significantly increase our profitability, as well as our margins. We've come a long way compared to the fourth quarter of last year, and still have some room to improve. Our strategies and execution are rendering better results, and we are poised to build on them.  Now, let me pass it on to Xavier for a detailed review of the results. 
Xavier Cortés Lascurain: Thank you. Good morning. During the quarter, our sales were 12.8 billion pesos, a 9.2% increase versus the fourth quarter of 2021. Net sales were boosted by consumer products and away from home, which grew 11.7% and 13.3%, respectively. Exports were down 14.3%. We will continue monitoring prices and volumes to find the best combination going forward. Cost of goods sold increased 1.4%. Against last year, every commodity and raw material category compared negatively, except for SAM and resins. Both imported and domestic recycled fibers compared negatively. On the personal care side, fluff also compared negatively, while SAM was slightly down, and resins were lower. Finally, energy compared negatively. The FX was lower, averaging 6% less. Our cost reduction program once again had very good results and yielded approximately 500 million pesos of savings in the quarter. The savings are mainly at the cost of goods sold level and are generated by sourcing, materials improvements, and process efficiencies. Gross profit increased to 27.5%, and margin was 34.7% for the quarter. SG&A expenses were 3.7% higher year-over-year, and as a percentage of sales, were 80 basis points lower. We continued to look for additional opportunities to streamline our operations, while strengthening the investment behind our brands. Operating profit increased to 54.1%, and the operating margin was 19.7%. We generated 3 billion pesos of EBITDA, a 41.5% increase.  EBITDA margin was 23.1%, a 160 basis point sequential improvement, and a 530 basis point improvement versus the fourth quarter of 2021, underscoring our focus towards margin and profit. Cost of financing was 419 million pesos in the fourth quarter, compared to 420 million in the same period last year. Net interest expense was lower despite our incremental gross debt because we earned more on our cash investments. During the quarter, we had a 26 million peso foreign exchange loss, which compares to a 13 million peso gain last year. Net income for the quarter was 1.4 billion pesos, with earnings per share of 0.46. For the whole year, our sales were 51.1 billion pesos, an 8.9% increase, and an all-time record. EBITDA was 10.9 billion pesos, a higher overall number despite the strong cost increases, and was 21.4% of sales. Our margin increased sequentially every quarter, and we are on the right track and closer to our long-term target. Net income was 4.9 billion pesos, and represented 9.7% of sales. We have record savings from the cost reduction program amounting to 1.7 billion pesos. During the year, we invested 2.1 billion pesos in CapEx, in line with our program, as we focus towards technology improvements, cost reductions, and efficiencies and capacity additions. We maintain a very strong and healthy balance sheet. Our total cash position at the end of the year was 16.9 billion pesos. Our net debt to EBITDA ratio was 1.5 times, with an EBITDA to interest coverage of seven times. Thanks. Back to Pablo.
Pablo Gonzalez: Thanks, Xavier. The past couple of years have been challenging on many fronts, particularly the unprecedented cost environment. 2023 will not be an exception. Economies are expected to slow down, if not go into recession, and consumers will be stretched. For the most part, raw materials are expected to trend down, but many are at historically high levels, and the speed of the amount of the adjustments is not clear, as the impact of China's reopening is uncertain, and suppliers act to protect their pricing. However, we expect domestic consumption to be resilient, particularly in our categories, and raw material prices to come down as the year progresses. This, together with a robust innovation pipeline and strong support behind our brands, the investments we're making to optimize our footprint and strengthen our execution, as well as our consistent and effective focus on cost reductions, should allow us to achieve good results in 2023 and reach our target margins by the end of the year. Finally, our February board meeting and March shareholders meeting, we will be proposing a dividend that will be in line with last year's. We are pleased, although never satisfied with our progress, and excited with our opportunities. We're committed and will be relentless in achieving our goals.  Thanks again for participating on the call, and now we'll take your questions.
Operator: Thank you. [Operator Instructions] We'll take our first question from Jens Spiess with Morgan Stanley.
Jens Spiess: Hello, Pablo, Xavier. Happy 2023, and thank you for taking my questions and congrats on the results. I just wanted to ask on the - on costs, how they have evolved sequentially. What do you expect in coming quarters? We have seen pulp prices starting to decrease, and also in the US, recycled fibers some of them decreasing quite substantially. So, do you expect to see more tailwinds in that regard? And also, if you could maybe give some color in the CapEx you expect for 2023, for this year. Thank you.
Pablo Gonzalez: Sure, Jens. Thanks for the for the question. First, on the costs, as we mentioned, we expect of the year to end - to start, sorry, with pulp still in a very high note. They should correct as the year progresses, but the speed and amount of correction is still not very, very clear. But again, as the year progresses, pulp should certainly trend down. Fibers are starting to turn around, and hopefully the amount and the speed at which they turn around will accelerate, but we are starting to see a little bit of turnaround in fibers, although, again, we're starting the year at a very high level. Fluff will be higher than last year, significantly higher as there is less capacity out there in the market and more demand. What we - where we see some improvement is in resins and super absorbent materials already in the first quarter, and that should be stable throughout the year. At least, that's how we see things currently. So, again, key thing is how fast and when and by what and by how much pulp starts to turn around here, hopefully in the second quarter and beyond. When it comes to our CapEx, it'll be pretty much in line with this year's, which was higher than prior years because we're making important investments in capacity and innovation and in our footprint.
Jens Spiess: Okay, perfect. And is that CapEx, how much of that is, approximately sustaining CapEx?
Pablo Gonzalez: How much is what? Sorry, we didn't get that one. 
Xavier Cortés Lascurain: Yes.
Jens Spiess: How much is approximately sustaining CapEx of that amount?
Pablo Gonzalez: It’s - as you know, the way we see CapEx usually is not very much what we assign directly to sustain, because we usually take advantage of the process of the - of what normally would could be called sustained projects to improve efficiencies, to add some capacity. So, it's really hard to separate it. Most of it will have some - will come with some - sorry about that, will come with some benefits in terms of a flexibility, cost savings, or capacity.
Jens Spiess: Okay. Great. Thank you.
Operator: We'll take our next question from Sergio Matsumoto with Citigroup.
Sergio Matsumoto: Yes. Hi. Good morning, Pablo and Xavier. Happy new Year, and thank you for taking my question. My question is on the margin recovery that you're seeing and just having an eye on the 25% to 27% range, the median term. How do you feel about the outcome? Is it like an easy one because of comparison, or do you see potential obstacles? And what do you think of the timeframe to achieve that? Thank you.
Pablo Gonzalez: Thanks, Sergio, and also have a terrific 2023. Look, as I mentioned, we expect the first quarter to be a challenge as some raw materials continue to be at historical highs. And - but we expect them to start to come down, although we have not seen some important moves, particularly in pulp, but they will trend down during the year. So, as we move into the second and third quarters, as it stands now, we should see sequential improvement, and we believe that by the end of the year, we should reach our long-term target. Again, as things stand now, but it's very, very volatile, but we expect to reach our target by the end of the year.
Sergio Matsumoto: Thank you.
Operator: And we'll take our next question from Bob Ford with Bank of America.
Bob Ford: Hey, good morning, Pablo, Xavier. Congratulations on the quarter, and thanks for taking my questions. Pablo, how are you thinking about innovation and pricing over the coming year, as well as competitor discipline and the consumer's ability to accept further price increases? And then I was also hoping you might be able to touch on exports given the contraction in the fourth quarter. And I'll just lay out a couple more questions right away. Outside of the dollar debt or near-term supply contracts that you might have hedged, do you have any other long-term hedges on, and how are you thinking about the FX and - given the strength of the MXN in the last couple of months? And then last year - or the last question was, you had a record year for cost savings. Can you discuss what's been mapped out so far for this year and maybe some general indications of where you're finding those incremental costs and expense opportunities? Thank you very much.
Pablo Gonzalez: Thank you, Bob. Thanks for participating on the call, and that's quite a few questions. Let me take them one at a time. First, on innovation, very, very excited with our pipeline on innovation and what we've done in the fourth quarter, what we're doing this first quarter, and for the next couple of years. Just to give you an example, in the fourth quarter, we introduced Kotex Zero, which is, we believe, the first flushable, biodegradable pad panty in - pretty much in the world. I know there’s another effort going on in Great Britain on this, but this is the first one to market. And that's the kind of innovation we're pushing forth. And in this quarter, we're improving our products in all of the tissue categories and all of the tissue tiers. So, very excited about what that will bring in terms of opportunities for growing in the market. And then we will see important innovation in all of our categories throughout the year. And again, a very robust plan for the next coming years. In terms of pricing and discipline, I mean, we've - as you know, over the past year, we've implemented a few increases, and that, together with our price realization efforts, compounded the effect and certainly helped our results.  As we move forward, we will be very careful to monitor which categories are still facing intense cost pressures and what we need to do with them, and decide when and by how much we should move forward. But what we've seen so far is, for the most part, competitors lagging, but following. So, they lag in timing, but they eventually follow. And as that has happened in the couple of categories where we have lost a couple of share points, we've been able to start to get that back. So, pretty much in line to what happens when we lead, and then they follow. And for pricing, again, we'll take a look at how the raw material environment continues to evolve and which categories are still under pressure, and then what it is we need to do moving forward, but we do expect for this year to be - show a more balanced growth between volume and pricing. On the expert side, which is really what brought down our volumes for this quarter because we saw good performance on consumer products, good performance on our professional business, even with sequential volume improvements, but experts was a headwind, and it was a headwind, not only sale of parent rolls. That went very well. It was really on our sales of expert finished product to our partner. As they've seen some of the categories over the past quarters decelerate a little bit on volume, we were required to provide less to them over these past quarters. And it seems it will be the case for first quarter. We are hoping that things will accelerate over there, and we'll be able to get a little bit more volume starting in second and certainly third and fourth quarters of these years. On the cost saving side, then I'll ask Xavier to comment on the FX, but on the cost saving side, we are - we had a very - another very good year. As you know, this is not just a process that we follow every year. It's just a part of our culture. It's a relentless focus on our part to find savings, to be more efficient, and to be as frugal, fit, and agile as we can. And we're excited because at this point in time, we have identified a higher number or a better number in savings for this year versus where we were last year, again, at this point in time. Still got a lot of work to do to ensure we get to at least the number we achieved this year, but given the way we're starting, we feel pretty confident that we should be at least at 1.5 billion pesos, hopefully higher than that. 
Xavier Cortés Lascurain: Hi, Bob. On the FX, we have some partial hedges that will only go for next two or three months, I think. We don't - and the pricing that we have of the spot peso right now, our comp will be very positive on these at least first two quarters. Going forward, we'll have to wait and see. You ask for a view. I really - I don't think that we can answer much on that, except that, hopefully - that hope that it stays at the low level to where it is.
Bob Ford: And Xavier, just to make sure I understood, on your FX positions for the next couple of months, is that something that’s rolling? And when would you expect to start to cycle into an MXN that’s stronger than ‘19?
Xavier Cortés Lascurain: Yes. There's something we did, both in terms of hedging that will be a little bit higher than the best stance at this point, still at much, much better levels than where we were at this point last year. And by second quarter, we should be able to start seeing the - reflecting the prices that you're seeing in the market currently. And the hedges, the hedges are only partial. So, we're definitely seeing a benefit.
Bob Ford:
Pablo Gonzalez: Awesome. Thank you very much, and again, congratulations on the recorder.
Operator: We'll take our next question from Antonio Hernández with Barclays.
Antonio Hernández: Hi, good morning. Thanks for taking my question. Congrats on the results. My question is regarding MSP. Group pricing of course has helped quite a lot, and you mentioned that you've seen a little bit more of a balanced structure in terms of pricing and volumes. For these vehicles, what are the strengths in efficiency that you've seen lately? Anything worth highlighting there? Thanks
Pablo Gonzalez: Antonio, I'm going to try and answer the question as best I understood it, because you're not coming out too clearly. But if I understand correctly, you want to understand a little bit better about the balance of volume and pricing. But I can tell you, for the fourth quarter, particularly on consumer products and our professional business, really the growth came from pricing still, but as you look at it sequentially, fourth quarter versus third quarter, we did see improvements in our volumes. So, they were quite a bit in better shape by the fourth quarter. Coming into the year, we expect, again, this to be a little bit more balanced. We will be very careful in analyzing where we need further pricing, given the cost pressures that we're seeing. But there are certain categories where we will really focus on just being a little bit more aggressive in terms of volume and getting back some of the share that we lost as we pushed pricing forth. And understanding that consumers will be stretched this year as inflation continues to bite their budget, we will be, again, managing a strategy that will try and balance - better balance both volume and pricing going forward. Hope that answers the question.
Antonio Hernández: Yes. Thanks for that. And I just wanted to know a little more about elasticity. Are there certain categories for these market share losses that you're gaining back took place, or for the different categories, what’s worth highlighting there in terms of elasticity and competitive pressure, and you’re gaining back. In terms of categories, what are you seeing? Thanks.
Pablo Gonzalez: Right. Look, in terms of the categories where we've lost share, when I take a look at the different categories, we're really talking about three or four where we saw some slight decreases in share. Most of our categories are either flat or increasing for the year. So, that's a really, really good sign, particularly after a year where we needed to push pricing a little harder. On the categories, where we've seen some share decline, again, we led price increases, but we've seen competitors follow. And as they've done that, now with our innovations and our commercial execution, we're starting to see our shares come back. So, it’s a dynamic that usually happens when we put price into the market. And - but we will monitor very closely this year what's in the best - what's best for each category, and then decide how to move forward as hopefully some of the volatility that we're seeing in raw materials subsides.
Antonio Hernández: Okay. Perfect. Thanks, and have a great day. Thanks.
Operator: We'll take our next question from Luis Willard with GBM.
Luis Willard: Hi, guys. Good morning. Thanks for taking my question, and again, this is a great year for you and your families. So, I just wanted to pick your brain, Pablo, and Xavier, about how - what do you think about capital allocation in coming years? I mean, you touched about increasing capacity and some CapEx related to innovation, but I wanted to get down a bit more on dividends. I mean, the last couple of years have been rough in terms of the environment, but free cash flow has been really great. So, how do you think about your policy, I don't know, say, the coming couple of years? Thank you.
Xavier Cortés Lascurain: Hi, Luis. As you know, we have the dividends we have to pay them from retained earnings. That's the reason why the last couple of years, we have not increased the dividend. The dividend that we will be paying this year will come from previous years’ retained earnings. We will be using most of our bullets to make sure that we keep it pretty much in line or very close to what we paid last year. Going forward, it's going to depend. If things continue to improve, we will definitely consider increasing it again, and maybe and hopefully taking, again, the share buyback program. But again, it all comes down to net earnings, not necessarily cash. And so, it’s a little bit independent of CapEx and that cash, we will have to - we will have and we need to work to make sure that we have those net - that net income and those earnings to increase it again and get back to that policy.
Luis Willard: All right. Appreciate it. Thank you.
Operator: [Operator instructions]. We'll take our next question from Ulises Argote from JPMorgan.
Ulises Argote: Hi, Pablo, Xavier. Congrats on the results, and great to see that sequential improvement, and all the best for the year. So, I just had one follow up on Jens’s earlier question around the expectations there on the prices of partner. So, there is a lot of news flow there on some capacity coming in line in the year and et cetera, and I just wanted to know if this is considered in your base case, and maybe we could see better trends there if the capacity does come in line at the expected rate. I know there have been some delays there, so I just wanted to see what's kind of been baked in your base case. Thank you.
Pablo Gonzalez: Thanks, Ulises, for the question and yes, absolutely. As that capacity comes in, that should allow or put a little bit of pressure on pricing on pulp. Unfortunately, as you mentioned, that has been delayed somewhat, but as it comes into the market, it will have its effect, and that's why what experts are calling for right now is that this should turn around and it should gain some speed in second, third quarters of this year. That's the current expectation. And then in the coming years with that capacity, the cost should be pretty much flat going forward. So, it's really just a matter of when it happens and how fast it happens. So far, we haven't seen any important moves. Again, hopefully, we'll start to see them in the coming quarters. And yes, definitely as capacity comes in, that should be very, very helpful for the market.
Ulises Argote: All right, perfect. Super clear. Thanks so much, guys.
Operator: It appears that we have no further questions at this time. I will now turn the program back over to Pablo Gonzalez for any additional or closing remarks.
Pablo Gonzalez: Nothing much more to say. Just again, thanks so much for participating on the call and our best, best wishes for you and your families in 2023. Look forward to being in contact with you. Thanks so much.
Operator: That concludes today's teleconference. Thank you for your participation. You may now disconnect.